Operator: Ladies and gentlemen, thank you for standing by. Welcome to the American Tower’s Second Quarter 2023 Earnings Conference Call. As a reminder, today’s conference call is being recorded. Following the prepared remarks, we will open the call for questions. [Operator Instructions]. I would now like to turn the call over to your host, Adam Smith, Senior Vice President of Investor Relations. Please go ahead, sir.
Adam Smith: Good morning. And thank you for joining American Tower’s second quarter 2023 earnings conference call. We have posted a presentation, which we will refer to throughout our prepared remarks under the Investor Relations tab of our website, www.americantower.com. On this morning’s call, Tom Bartlett, our President and CEO, will provide an update on our international business, and then Rod Smith, our Executive Vice President, CFO and Treasurer, will discuss our Q2 2023 results and revised full year outlook. After these comments, we will open up the call for your questions. Before we begin, I’ll remind you that our comments will contain forward-looking statements that involve a number of risks and uncertainties. Examples of these statements include our expectations regarding future growth, including our 2023 outlook; capital allocation, and future operating performance; our collections expectations associated with Vodafone Idea in India and any other statements regarding matters that are not historical facts. You should be aware that certain factors may affect us in the future and could cause actual results to differ materially from those expressed in these forward-looking statements. Such factors include the risk factors set forth in this morning’s earnings press release, those set forth in our Form 10-K for the year ended December 31, 2022, as updated in our upcoming Form 10-Q for the six months ended June 30, 2023, and in other filings we make with the SEC. We urge you to consider these factors and remind you that we undertake no obligation to update the information contained in this call to reflect subsequent events or circumstances. With that, I’ll turn the call over to Tom.
Tom Bartlett: Thanks Adam and thanks to everyone for joining this morning’s call. Consistent with our past practice my comments today will focus on our international segment which consists of a well-diversified, high growth portfolio of assets across key developed and emerging geographies outside of the United States. Before diving into our international operations though and in light of the recent excitement surrounding the potential arising from AI workloads, I'd like to spend a moment highlighting the demand we're seeing in our CoreSite data center business, where we've seen 9% year-over-year growth, in both revenue and operating profit for the first six months of the year. Following record levels of signing new business in 2022 and Q1 of 2023, we continue to see demand for data centers outstripping supply in our initial underwriting expectations, elevated pre-leasing in a pipeline that points to an extended opportunity for increasingly profitable growth.  Each of these factors is contributing to strong pricing trends, and the ability to be selective in terms of signing new logos and expansions from existing customers, ensuring accretion to the value of the interconnection ecosystem and overall AFFO growth, particularly once we begin commencing the remainder of the record new business we've signed over the last year and a half. This is all before factoring in expectations for elevated demand from AI used cases. While much of the immediate demand in the market today is coming from hyper scale requirements, the longer term opportunity for interconnection hub like CoreSite, is just as significant and is arising from several key demand drivers.  First, we've already seen an acceleration in outsourcing to CoreSite as hybrid IT and multi cloud access are becoming more relevant for continued digital transformation across all workloads. As enterprises increasingly leverage new generative AI models for business and customer applications, they'll need to deploy servers that require more power and cooling than on premises data centers can typically handle. At the same time, we expect existing enterprise customers who are building AI into their products and operating models will expand their power and space requirements in CoreSite with its flexible and scalable model and speed to market benefits, is already well positioned to support these expected used cases today.  Second, we're seeing today's cloud enabled large language models requiring connections to proprietary distributed datasets use for training, which CoreSite as an interconnection ecosystem with a nationwide distribution of cloud on-ramps is well situated to serve. And finally we see a significant incremental opportunity arising from the use of hybrid and custom large language models for training and inferencing where low latency, high power density and distributed high performance compute is expected to result in elevated activity across our existing CoreSite campus footprint. Over time, we see a potential for these dynamic requirements to push demand for a more distributed compute infrastructure for which our CoreSite portfolio and ultimately our distributed footprint of land parcels on the Tower sites may be ideal locations over the long-term.  Simply put, the ongoing demand trends in the data center space and the emergence of generative AI used cases are providing American Tower from CoreSite an opportunity to play a central role as an infrastructure provider against a backdrop of technology evolution that's expected to drive a step up function increasing computing power demand. As a result, we see a compelling opportunity to continue delivering the industry leading yields on invested capital that CoreSite has historically achieved which Rod will touch on more later.  With that, let's turn to our international Tower business, where our objectives have remained clear, since we began expansion over two decades ago, leverage our proven capabilities and expertise to selectively invest in the world's largest free market democracies with regulatory structures that are supportive of the neutral host tower model, healthy competitive wireless industries, and high quality assets and counterparties. At the same time we focused on investing in markets that are in various stages of network technology development, and where we see a path to establishing nationwide scale. By bringing these factors together, we believe we could both augment and extend our growth trajectory, leverage our platform and expertise to create incremental value in selected markets, and add to an already compelling total return profile for American Tower shareholders.  As a critical component of this portfolio management and capital allocation program, we measure and analyze our assets on an ongoing basis to ensure the marriage identified and our initial investment underwriting remained consistent today. As you've seen recently, such evaluation has led to select divestitures including our Mexico fiber business and operations in Poland and a strategic review of our India business. The takeaways from these analyses together with our on the ground experiences across our global business continue to shape and evolve our approach to capital allocation. And the criteria we use to support ongoing capital investment and the setting of appropriate risk adjusted rates of return.  Today, we have a leading international portfolio of nearly 183,000 sites that are contributing approximately 45% and 36% towards consolidated property revenues and operating profit respectively, and are expected to deliver more than 8.5% in total tenant billings growth, including greater than a 6.5% organic growth in 2023. The secular demand trends driving our international growth remained consistent. Similar to the U.S., industry estimates forecasts roughly $35 billion in carrier CAPEX across our non-U.S. markets in 2023 and forecast suggest mobile data consumption is set to grow in the 20% to 30% range on average in these markets over the next several years, which would mark a continuation of the trends we've seen over the better part of the last two decades.  Globally, we've anchored our portfolio in key markets, which are in varying stages of network development relative to that of the U.S., where some level of 5G coverage deployed over a combination of low and mid band spectrum has reached approximately 95% of the population. In Europe, that number is closer to 60%, while Africa and Latin America are closer to 7% to 8%, suggesting a long tail of 5G and other next generation technology investments requiring significant incremental network density and sell side points of presence. Critical to our expansion strategy has been our discipline in establishing appropriate contract structures with the leading M&A [ph] in each geography. Although we've experienced certain consolidation driven churn events across our international portfolios over the past several years, we believe that through our proactive steps to increase exposure to leading multinational counterparties, we strategically reset our international customer base, enhancing the quality of our earnings and predictability of growth.  In fact, in Africa, approximately 90% of our Q2 property revenues are derived by market leaders Airtel, MTN, Vodafone, and Orange, as compared to roughly 80%, five years ago. In Europe, we similarly see over 80% of property revenue supported by Telefonica, Orange, Vodafone, and Deutsche Telekom versus less than 60% at the same time in 2018. In Latin America, which has a more fragmented customer base, given our operations across eight markets, we're still generating approximately 75% of our property revenues from Telefonica, At&T, American mobile, and Tim, up from a little over 60% over the same time period.  In addition to focusing on partnerships with market leaders, we've underwritten attractive leasing terms, including real estate REITs, and CPI linked escalators in the vast majority of our contracts outside of India. This disciplined approach to securing growth and critical contract terms is evident in our results in Q2, with a combination of gross organic new business and our escalator generated just under 13.5% growth in aggregate for Latin America, Europe, and Africa, roughly 300 basis points over our trailing five-year average. This reflects our ability to complement new site leasing with attractive amendment growth across our international operations, as we've done in the U.S. historically. In fact, looking again at Latin America, Europe, and Africa, of the roughly $100 million we've generated through colocation and amendment growth over the past 12 months, around half, both in each region and in the aggregate has come in the form of amendments, illustrating our ability to monetize various stages of network investment cycles, and our success in franchising our proven U.S. tower model throughout our global operations.  There's perhaps no better example of the benefits of remaining disciplined in terms of contract structure in Europe, where over the last several quarters, CPI linked escalators in Germany and Spain have provided a boost to our organic growth profile. And where again, roughly half of our new business growth has been driven by 5G related amendment activity on existing sites. In 2023, these factors as well as a healthy leasing environment are coming together to derive an expectation of approximately 8% organic kind of Billings growth in Europe, including an expectation for an acceleration in growth from colocations as we exit the year. As the 5G investment cycle continues our contract structures along with our work to develop leading operating capabilities in the region, and an ongoing expectation for low churn should allow us to deliver solid organic growth in the region for the foreseeable future. Furthermore, the importance of the scale we built as a distinct competitive advantage has never been clear.  To our global diversified presence, and decades long track record of operational excellence, we've established American Tower as a trusted, strategic partner for our customers. This is exemplified by our new build program, where we partnered with leading carriers to rapidly deploy new sites, which has driven some of our highest returns on invested capital. In fact, since we began expanding internationally, we have built over 45,000 international sites, which are achieving a NOI yield of approximately 25%. And approximately 65% of these sites have been built since the start of 2017 alone shortly after we crossed the 100,000 international site mark. Nearly 8000 of these sites have been built in Africa, where our scale presence and strategic relationships with key wireless operators have afforded us the opportunity to build several 1000 new sites in recent years, that typically deliver mid teen yields on day one.  As we continue to augment our scale in key markets across the region, 4G investments, which are very much in the middle innings today are driving compelling organic tenant billings growth and our existing assets, including an expectation for greater than 11% growth in 2023, of which approximately 7% is coming from colocation and amendments, the highest of any region. And as the 4G cycle rounds out over the next few years, and we move toward 5G and the densification requirements that come with it, we expect capacity utilization across the assets we've built over the last several years to result in ongoing compelling growth.  Meanwhile, our regional scale and leading capabilities have resulted in the opportunity to invest in accretive platform extensions, such as our power as a service program in Africa. As you'll see in our recently published sustainability report, through 2022 we've invested approximately $345 million in this program, primarily in solar arrays and lithium ion battery solutions. As a result, we decreased annual diesel consumption at our sites in the region by an estimated 43.5 million liters when compared to business as usual operations and we've reduced our greenhouse gas emissions intensity per tower by 21%, against our 2019 baseline. Based on the demand to extend this program, it seems clear that this solution provides compelling differentiated value to our customers.  At the same time, the program advances our progress toward meeting our science based targets and supports our customers network sustainability goals. Meanwhile, similar to our new build program, these investments have been among the highest return opportunities we've seen. And as more power intensive 5G begins to be deployed at scale more broadly, we believe we'll be well positioned to continue extending the reach of this high return program to new geographies over time. Finally, we're more focused than ever, on leveraging the benefits of our scale to maximize the margin profile of the business. For example, through our Global Business Services Organization, we've invested in standardization across lease management and other transactional processes that's driving both significant increase in productivity and run rate savings on an annual basis. Through our procurement organization we will begin to truly leverage our scale as a buyer to reduce input costs in our build to suit programs. Drive cost optimization when it comes to power and energy components and work with other critical vendors in our supply chain to realize incremental efficiencies. And while we're beginning to see the benefits of these and many other initiatives in our operations today, we believe we have a significant opportunity to transform our organization into one that is truly global, and capable of maximizing the operating leverage inherent to the business to expand on an already attractive margin profile.  In summary, we believe our global platform of assets is exceptionally positioned to benefit from what we expect to be a massive wave of incremental infrastructure demand required to support the technological advancements and network capabilities we're beginning to see in the market today. By complementing our U.S. platform, with a continued disciplined approach to international growth, and a focus on leveraging our scale, capabilities and learnings from over two decades of international U.S. operations we can provide compelling growth and margin expansion, and augmented return opportunity for investors, and a differentiated value proposition for our customers for many years to come. With that, I'll turn the call over to Rod to go through the quarterly results and updated outlook.
Rod Smith: Thanks, Tom. Good morning. And thank you for joining today's call. As you saw in our press release, we had a strong second quarter reflecting a continuation of resilient demand for our diversified global portfolio, and solid operational execution across our organization. Before I walk through the details of our Q2 results, and revised full year outlook, I'll start with highlighting a few items from the quarter. First, we continued to strengthen our balance sheet, raising approximately $2.7 billion in fixed rate debt through a combination of Euro and U.S. dollar denominated senior notes at a weighted average cost of 4.9%. As a result, we decreased our exposure to floating rate debt to approximately $6 billion or less than 15% of our total outstanding debt as of the end of the second quarter.  Next, the momentum experienced across our global business in Q1 continued into the second quarter with outperformance across new business, escalations and churn, resulting in another quarter of over 6% organic tenant billings growth, allowing us to raise our full year expectations across our Latin America, Europe, and Africa segments. We also had another strong quarter at CoreSite where elevated leasing volumes since our acquisition continued into Q2, and were further supported by solid pricing trends, high renewal rates, and interconnection growth of approximately 10%, which together with our tower business drove property revenue growth of over 4% in the quarter. Complementing top line growth, and as I highlighted last quarter, we are maintaining a strong focus on cost management. Once again in Q2, despite an elevated inflationary environment, we kept cash SG&A roughly flat year-over-year, helping to support an adjusted EBITDA margin expansion of approximately 60 basis points to 63.1% or over 100 basis points when normalizing for VIL reserves. Finally, we continue to engage in active discussions with a focused group of investors around the potential sale of a majority equity interest in our India business as we assess strategic options in the market, and exercise we anticipate completing in the second half of the year. As always, we will remain disciplined and patient with the goal of achieving the best outcome for American Tower and its shareholders. With that, please turn to Slide 6 and I'll review our property revenue and organic tenant billings growth for the quarter. As you can see, Q2 consolidated year-over-year property revenue growth was over 4% or over 6% on an FX neutral basis. This included U.S. and Canada property revenue growth of over 5%, international growth of nearly 3%, or over 7%, excluding the impacts of currency fluctuations, and over 7% growth in our U.S. data center business. In the quarter we recognized approximately $35 million in revenue reserves associated with VIL short payments, as collection patterns in Q2 were relatively consistent with that of Q1. Moving to the right side of the slide, we achieved another strong quarter of organic tenant billings growth, which stood at 6.2% on a consolidated basis. In our U.S. and Canada segment, organic tenant billings growth was 5.1% and approximately 6.5% absent sprint related churn, including another quarter of elevated colocation and amendment growth contributions of nearly $60 million. Our international segment saw outperformance across nearly all reported segments, primarily due to a combination of higher than anticipated colocation and amendment growth and continued churn delays, resulting in organic tenant billings growth of 7.9% up from 7.5% in Q1. At a segment level, Africa, Europe, and APAC produce growth of 12.9%, 8.3%, and 5.6% respectively, each in acceleration off of Q1, with Africa representing a record for the region, APAC delivering its highest quarter since Q3 of 2017, and Europe demonstrating growth of over 575 basis points above its pre-Telsius [ph] average. In Latin America, we did see a modest deceleration of 5.4% as expected. Consistent with the last quarter, we continued to realize benefits associated with CPI linked escalators across the vast majority of our international markets while a continued delay in anticipated consolidation driven churn in Latin America has kept reported churn favorable to our initial expectations through the first half of the year.  Finally, strong leasing trends across our international business has driven an acceleration in colocation and amendment growth contributions across nearly all of our segments, resulting in an approximately 40 basis point improvement sequentially at a consolidated international level. Organic tenant billings growth was further complemented by the construction of more than 565 sites with virtually all of the step down relative to Q1 associated with India volumes, as we continue to prioritize capital deployments across our footprint to projects that demonstrate the most attractive risk-adjusted rates of return.  Turning to Slide 7, adjusted EBITDA grew nearly 5% to over $1.7 billion or approximately 6% on an FX-neutral basis for the quarter. As I mentioned, adjusted EBITDA margin expanded to 63.1% driven by elevated organic growth, combined with prudent cost controls throughout the business, which allowed for a conversion of over 85% of revenue to adjusted EBITDA growth, again, on a normalized VIL basis. Cash, SG&A as a percent of total property revenue was around 6.8%, and over 20 basis point improvement compared to prior year. Moving to the right side of the slide, attributable AFFO and attributable AFFO per share decreased by less than 1% and approximately 2%, respectively. This decline includes financing cost headwinds of approximately 7% and 9% against attributable AFFO and attributable AFFO per share growth, respectively, driven by the rise in interest rates over the past year.  Let's now turn to our revised full year outlook, where I'll start by reviewing a few of the key high-level drivers. First, as mentioned earlier, we had a solid second quarter, and the core performance of the business continues to remain strong supporting an increase to our expectations for property revenue, adjusted EBITDA, attributable AFFO, and attributable AFFO per share. Next, consistent with our prior outlook, we have maintained our VIL revenue reserve assumption of $75 million for the year. As I noted, we saw similar collection trends in the second quarter as compared to Q1 bringing our year-to-date reserves associated with VIL to approximately $70 million. Subsequent to the quarter end, VIL made a full payment for July's billings and has committed to paying at least 100% of billings moving forward. In this case, we could potentially see some upside to our outlook assumption. However, we believe it is prudent to leave the full year assumption unchanged at this time.  Additionally, we have assumed lower U.S. services volumes through the balance of the year, resulting in an approximately $40 million reduction in gross margin as compared to our prior outlook. While the recent pullback was more abrupt than our initial expectations, moderation in carrier spend following the recent historic levels of activity we've seen in the industry isn't unexpected and is consistent with past network generation investment cycles. Despite this reduction, we're still seeing healthy levels of activity on our sites, which we expect to continue, and our guide still assumes over $40 million in services gross margin contribution in the back half of the year which on an annualized basis, is still in excess of any year throughout the 4G cycle. It is also important to note that although our services business is non-run rate, more susceptible to in-period carrier activity and cyclical in nature, our comprehensive MLAs continue to provide us with a high degree of visibility and contractual protection against activity variability in our 2023 property revenue and organic tenant billings guide, as well as the growth we've assumed in our long-term U.S. and Canada organic tenant billings growth target. Finally, on the macro side, we have revised our FX and interest assumptions. Starting with FX our revised outlook includes the negative impact associated with the recent devaluation in the Nigerian Naira with impacts partially mitigated through the USD denomination of roughly half of our tenant revenues in the market. This is further offset by the strengthening of other currencies in our portfolio, resulting in minimal FX impacts versus our prior outlook. On the interest side, our guidance reflects a modest increase to interest expense based on the updated forward curve estimates of SOFR, partially offset by interest income.  With that, let's dive into the numbers. Turning to Slide 8, we are increasing our expectations for property revenue by approximately $125 million as compared to our prior outlook. Outperformance was driven by approximately $65 million in core property revenue supported by increases to the U.S. and Canada segment, which includes the benefits of several non-recurring onetime items along with our U.S. data center and international segments. Complementing our core upside, we're also increasing our outlook by another $60 million, primarily associated with straight line and pass-through revenue. Moving to Slide 9, we are increasing our expectations for organic tenant billings growth at a consolidated and international level. In the U.S. and Canada, we are maintaining our guidance of approximately 5% or over 6% excluding sprint churn, with an expectation for at least $220 million in colocation and amendment growth contributions. In Latin America, we have increased our outlook from greater than 2% to approximately 4%, largely driven by continued delays in anticipated consolidation-related churn. In Europe, we are raising our guidance to approximately 8%, up from 7% to 8% previously, supported by modest improvements in our escalator contributions, together with an expectation for colocation and amendment growth to be closer to the upper end of our initial 2% to 3% assumption as we continue to make operational progress in Germany on leasing up our rooftop assets. Next, we're increasing our Africa outlook from approximately 9% to greater than 11%, primarily due to a continuation of solid new business demand. Although we are pleased with the acceleration in organic tenant billings growth in APAC in Q2, we are maintaining our prior outlook of approximately 4% at this time.  Moving on to Slide 10, we are raising our adjusted EBITDA outlook by $75 million. This reflects the strong conversion of the incremental property revenue I just mentioned, facilitated through prudent cost controls resulting in an incremental $75 million in cash property gross margin, along with an additional $40 million, primarily due to straight line. This growth was partially offset by a reduction of $40 million associated with our U.S. services business.  Turning to Slide 11. We are raising our expectations for AFFO attributable to common stockholders by $25 million at the midpoint, representing approximately $0.05 on a per share basis moving the midpoint to $9.70 per share. Updates to our expectations include the cash adjusted EBITDA increase of $35 million, partially offset by approximately $10 million in other items, including the impacts of interest expense and also a slightly higher minority interest, which is the product of outperformance in our U.S. data center business.  Moving on to Slide 12, while our capital allocation plans remain consistent relative to our prior outlook, primarily consisting of $3 billion in common stock dividends, subject to Board approval and $1.7 billion in capital expenditures, I'd like to spend a moment to review our approach to ensure adequate capacity for our CoreSite business as we support an elevated backlog and expectations for continued future demand. On the left side of the slide, you see our plans continue to assume approximately $360 million in discretionary spend allocated to our U.S. data center business in 2023. This level of spend supports a high watermark of cash backlog, driven by the record levels of leasing since closing our acquisition at the end of 2021.  Similarly, our retail and scale backlog, excluding hyperscale, is also at record levels, demonstrating the strength of the core business and diversification of new leasing which we expect to drive incremental ecosystem value and a continuation of the industry-leading returns CoreSite has produced historically. The differentiated nature of the CoreSite assets, representing a network, cloud and digital platform rich interconnection hub, which in conjunction with large-scale, purpose-built adjacent capacity uniquely positions CoreSite to support the high-performance workloads of today and in the future including expected incremental AI capacity needs.  Combined with the favorable supply and demand dynamics we're seeing across the data center industry, we have a high degree of confidence in our ability to drive double-digit stabilized yields on our development investments, largely supported by the reinvestment of CoreSite's own cash flows with further support from American Tower and our partner, Stonepeak. In fact, our pre-leasing at the end of the quarter was approximately 36%, which further derisks our capital investments and illustrates the robust demand we're seeing across the space. While such demand drives the need for incremental investment, we are eager to support the business and realize the attractive rates of return CoreSite has historically proven, while remaining selective and disciplined in current and future development priorities and decisions. Moving to the right side of the slide, and as I mentioned earlier, we continue to execute on our financing initiatives in the quarter raising $2.7 billion in fixed rate debt, extending our average maturity to over six years while reducing our floating rate debt balance to below 15%. We also closed the quarter with net leverage of approximately 5.3 times ahead of our own deleveraging path towards our targeted range of 3 to 5 times. Moving forward, we'll remain opportunistic in potentially further accessing the debt capital markets to appropriately manage our investment-grade balance sheet.  Turning to Slide 13 and in summary, our business continues to demonstrate resiliency and benefit from ongoing demand across our operations while effectively mitigating certain risks and variability through the strength of our customer agreements. Supported by a continuation and positive growth trends in Q2, we were able to increase the full year outlook midpoints across the majority of our key metrics, largely supported by core property outperformance across our tower and data center segments. We believe our global portfolio, strong balance sheet, best-in-class operating capabilities, disciplined approach to capital allocation, and keen focus to drive long-term efficiencies across our organization has American Tower well positioned to deliver strong, sustained growth in shareholder returns as we close 2023 and over the long term. With that, operator, we can open up the line for questions.
Operator: [Operator Instructions]. And our first question is from Eric Luebchow with Wells Fargo. Please go ahead. 
Eric Luebchow: Hi, good morning. Thanks for taking the question. So I wanted to touch on the U.S. domestic leasing environment. We heard from one of your peers that carrier activity had slowed substantially during Q2. It looks like you're seeing a little bit of that in your service revenues, but I wanted to talk more about your organic tenant billings growth. Obviously, you reiterated the guide this year, but as we look beyond 2023, I know you have I think, 75% locked in into your long-term guide, but could it sustain slowdown in carrier activity, put that 5% number potentially at risk beyond 2023, maybe you could just walk through some of the puts and takes there?
Rod Smith: Hey, Eric, good morning. And thanks for the question and thanks for joining the call. So as the other tower companies are experiencing the slowdown with the carrier spend, we're seeing that as well. You rightly point out, you see it mostly in the services revenue. So for us, you noticed we took our guide down from over $200 million down to about $175 million. In that process, we also were able to increase our margins and kind of mitigate some of that softness. The thing that I would point out there as it relates to services is the level of activity we see continuing into the back half of the year, even through the slowdown, it's still equal to or better than the high watermark of level of activity we experienced throughout the 4G cycle. So we still view the services business and activity levels as pretty healthy. And this is not inconsistent with what we've seen in other technology upgrades with the carriers to have an initial burst of spending they get their network upgraded on the new technology. Then you see a pullback in CAPEX and that sustained level of new CAPEX under the cycle is typically higher than the last cycle. And that's what we're seeing, that's what we expect. In terms of the longer-term guidance is you think the way that our comprehensive agreements are set up, we really are in very good shape we think, from now out to 2027. So I'll just remind you in terms of what our long-term guide was. We are seeing an average of about 5% organic tenant billings growth in the U.S. from now until 2027. And the slowdown does not change our view there because the vast majority of that is fully contracted. That includes the incremental impact of sprint churn. Without that, we'd be at about 6%. And again, we don't see that changing because this pullback or slowdown as described from carriers because of the way that our holistic or comprehensive agreements were. So that's kind of -- that's the strong nature of those comprehensive agreements that we have. It really does protect us from these fluctuations in spend from quarter-to-quarter or even year-to-year. And within that guide, we do have 4% to 5% of activity base, new business kind of coming through. So I think from that perspective, we're in pretty good shape.
Eric Luebchow: Great, thanks Rod. And just one follow-up. I wanted to touch on the data center business. Maybe you could give a little more color on the strength you've seen there. Is it coming from more of your traditional retail colocation requirements or are you starting to see increased demand for larger footprint deals perhaps tied to some of the AI demand we've heard about in the market with the cloud service providers, and I guess, given the demand backdrop, do you think that maybe CAPEX needs in that business might need to go up in future years or do you feel kind of comfortable with where you're at in terms of capital intensity with CoreSite?
Tom Bartlett: Eric, maybe I'll start this one, and then Rod can finish on. I think the mix of customers has actually been pretty consistent across the cloud and enterprise and the network. I think as Rod mentioned in his prepared remarks, we see a kind of record levels of cash backlog that's contracted revenue that's going to hit a balance of this year and into 2024 and a little bit into 2025. We see a pipeline that's up roughly 70%. We see pricing and it's up 15% on a year-over-year basis. Even the renewal rate, the MLR [ph] renewal rates is up at the 7% level. So there is a significant demand for these assets. We have a significant amount under development and a significant amount in the pipeline. So we're really outpacing the way we even underwrote the transaction to begin with. So really pleased with what we're seeing across the data center platform.
Rod Smith: Yes, Eric, maybe I would add just a couple of other comments to Tom's answer there. The overall growth that we're seeing in CoreSite is really healthy. We saw 10% overall revenue growth in Q1. We're seeing high single-digit growth in Q2. So you put that together for the first half and the revenue was up high single digits, which is really robust. We continue to see healthy escalators in that business. The cash mark-to-market is still up in our range, at the high end of our range, even beyond the 3% high end of the range. The churn is well controlled and within our range of 6% to 8%. Interconnection growth, we've always targeted 6% to 8%. We're seeing a higher level of growth than that today. So that's that ecosystem that we have kind of at work producing what we hope to produce. And then hitting the CAPEX part of your question, we've got $360 million this year in CAPEX, we had about $300 million last year. And we do think that's a good run rate. It will fluctuate from time to time, but the purpose for our CAPEX program, of course, is really to make sure that we have the adequate capacity available to satisfy the new business and the demand in the backlog. So you can see from the chart, we have an average backlog of about $53 million, which will be deployed over the next 18 to 24 months or so. So we are ensuring that we have that capacity available. So that $360 million really is going into the 28 locations we have, the campuses either adding buildings into those campuses or adding conditioned space within existing buildings to make sure that we're keeping pace with the demand that we see. And the demand is robust. So certainly, there's opportunities to deploy even a little bit more capital. We'll continue to evaluate the returns and the growth rates and those sorts of things. But all in, we're exceptionally pleased with the way the data center business is performing. And we do think staying in that between 300 to 360 in and around that area is the right place in terms of ensuring we have the capacity available to meet the demand in our current facilities.
Eric Luebchow: Great, thank you for the questions. 
Operator: Next, we move to Simon Flannery with Morgan Stanley. Please go ahead. 
Simon Flannery: Thank you very much. Good morning. Rod, I wanted to come back to the balance sheet if we could. Good updates on the floating rate debt and the leverage. You said in there, you want to continue to delever and I guess this also brings in Tom. You haven't done a lot of deals since the CoreSite deal. And I know you've been in this kind of focus on the balance sheet kind of period. So perhaps you just talk about what does -- where you want to get to on the leverage side of things and are you starting to think about being more opportunistic on the M&A side and maybe any commentary on the bid offer spreads, I know you talked about the India deal a little bit, but where do you see the opportunity to find things at a reasonable value, given the move in rates, etcetera? Thank you. 
Rod Smith: Yes. Good morning Simon, thanks for joining the call. Thanks for the question. So delevering is a priority for us. We've talked about that for quite a while. It comes in a couple of forms, outright in reducing overall debt, we're focused on that as well. Our target range is between 3 and 5 times. You saw that we ended Q2 at just over that at about 5.3 times. So a little outside that window. We want to get down below 5 times, and that's what we're really focused on going forward.  With that said, when we look at our capital program, our overall priorities haven't changed. We still prioritize the dividend and dividend growth so that's key. We see very good day one NOI yields and returns in the new build program. So this year, we're deploying about 1.7 billion in capital. We think that's a very good use of capital and resources for our shareholders. And then beyond that, when you look at M&A, as Tom has talked about in the past, in our pipeline today, we just don't see anything compelling. That's a combination of terms and conditions and markets where they're available in different criteria. So we look globally, we look at the pipeline, we continue to have a pipeline that we review. But again, nothing is compelling. So with that said, and in the specific environment where the rate -- the go-forward interest rate is still uncertain, we think it's very prudent to prioritize delevering and debt reduction. We think it's very prudent to reduce the amount of floating rate debt so we lock in our interest rates on a larger portion of our debt. So going forward, our target range is about 20% for floating rate debt. We've got that down to around 15%. And I think in Q3, you'll see us continue to be opportunistic depending on where the rates are in the U.S. and where the 10-year is in the U.S. and the benchmark over in Europe. You could see us back in the capital markets to reduce our exposure to floating rate debt even below the 15%. And you'll see us going forward this year and well into next prioritizing delevering and trying to get down below 5 times.
Tom Bartlett: Yes, Simon, I think I'll just underscore. I think it comes back to what Rod's saying is that there's nothing strategic out there. There's nothing compelling. We find it much more advantageous to invest in our own business that is through deleveraging, that is through investing through our capital. That's through buying back shares, I mean, given where we're trading. So we find it much more valuable to allocate our capital that way at this point in time than anything we see out in the market.
Simon Flannery: Great, thank you very much.
Operator: And our next question is from Matt Niknam with Deutsche Bank. Please go ahead. 
Matthew Niknam: Hey, thanks for taking the question. Just two on international. I guess, first on the churn expectations. I think, Rod, you had alluded to maybe some reduced expectations for churn at least this year in LatAm, just wondering if you can give us any updates in terms of the outlook, both for LatAm and Africa and whether the ultimate sort of churn expectations have been reduced or is this more of a deferral than anything else? And then secondarily, just on India, if you could maybe give us any additional color in terms of updates on discussions. You mentioned, I think, second half in terms of when you'd like to have the process completed, so any additional color would be great there? Thanks. 
Rod Smith: Hey Matt, good morning. Thanks for the question. So regarding the debt, the simple answer here is the -- some of the increases in our organic tenant billings for the balance of the year is really a delay in churn, not an expectation that churn is going to be materially lower over the long term. So, it's primarily in Latin America driven by the oi churn, which is delayed. So we do anticipate that to pick up later in the year in Q3 and Q4. And that oi churn is about 2% of our overall -- within our organic tenant billings growth, it's 200 basis points in that revised kind of view of that approximately 4%. So it really is a timing issue there. And then in Africa, it's pretty consistent. We're seeing some delays, but nothing too material, and it's not a change in terms of our overall long-term view in Africa. We're still looking at some churn in AirtelTigo in Ghana and Cell C is churning off some sites down in South Africa. So churn ends up being approximately 6% in the African market. And Latin America, it's about 6.5% kind of in total for the year. The other thing I would highlight is in Africa, we are seeing elevated levels of new business and activity. So we've been really pleased with that. So that's the churn piece. I guess jumping over to India, I'll just make a couple of comments on our process there. So as you know and as we've talked about in the past, we're fully engaged in a process in India. It started with a full evaluation of the market, particularly the future impacts of that market under different scenarios. And we're also evaluating potential uses of capital that we may take out of that market as a result of this process. We are -- we continue to focus and we're very engaged with a few remaining select investors. We're highly focused on selling a majority stake in that business anywhere, and I'll be kind of broad the process is continuing here, but anywhere from 50% to 100% stake sale. I don't want to talk about any more details than that. Of course, valuation is always important. Terms and conditions are always important. They are primary key considerations for us as we work through it. And I would say at the moment, we're happy with the progress that we've made to date. We've been working on it for quite some time. We are in the late stages of the process. And as I said in my prepared remarks, we do expect to complete a transaction sometime during the second half of this year. That's kind of what we're looking for. And our goal is to drive the best outcome for our shareholders through this process. We're going to remain very thoughtful, very disciplined, and very patient as we get through the final stages here. And we hope to update you all at some point soon in terms of the process and next steps here. But again, we're in late stages of the process.
Matthew Niknam: Excellent, thank you. 
Operator: Next, we go to the line of Michael Rollins with Citi. Please go ahead. 
Michael Rollins: Thanks and good morning. I was hoping to revisit some of the comments that you're providing around the carrier activity in the U.S. and specifically, is there a way to frame what changed relative to the carrier activity expectations that American Tower may have had earlier in the year for the full year 2023 and then given that customers under these comprehensive MLAs can execute a certain amount of capacity and if activity is less, does that mean they're not taking full advantage of the capacity they're paying for and then create some form of greater backlog of deployments that need to come through the system in the future?
Tom Bartlett: Hey Michael, maybe I'll start and then Rod can kind of kick in. And the types of questions you're asking for, I think, are probably more appropriate for them. We've seen T-Mobile come out and say they're rolling out more carriers. We've seen Verizon talk about their deployment and looking for more mid-band and how that's going to drive kind of the second wave. But I think if you kind of step back, the pullback that we're seeing in spending today is absolutely reflective of the cadence of network investment cycles that we've seen historically. I mean you and I have both been around long enough to see most of them and meet all of them and how that cadence has progressed. And the 5G cycle is no different, at least from my perspective, than what we saw with prior cycles.  I mean it -- when we looked at our long-term growth expectations for U.S. and Canada in 2021, we had and had anticipated having those comprehensive MLAs in place. And so it's obviously kind of straight line what we are looking at in terms of our overall growth and protects from -- as we've talked about this kind of signed wave, if you will, of development. But the cycles typically progress as there's a coverage cycle. It's what we've seen in past cycles, including 3G and 4G. It's an initial multiyear period of elevated coverage CAPEX, and it's tied to new G spectrum aimed at upgrading the existing infrastructure. It's largely cost based. I mean the carriers are dropping in new technology to bring down their overall cost per bit as well as then positioning themselves to be able to offer their customers, their consumers and enterprise customers more technology and more capability. It's then followed by some grooming that will go on. And perhaps that's kind of the stage that we're starting to see ourselves in at this point in time.  And then later in the cycle, it will fill back into a capacity stage where we'll start to see more densification going on. And so when we think of kind of the services and the cadence, if you will, every time it is difficult to predict because the cycles from each of the customers are so different. As Rod said, the $175 million or so that we're looking to service, it is kind of the third -- largest on record. Last two years, we're up, I think, north of the $200 million range. But there still is a sizable year for our services business. So -- and our customers themselves are spending still record level versus where they were spending in 4G. So I know there's a lot of this anticipation of what's going on in 5G, why is this pull back and spend in 5G. I think we need to take a look at kind of a broader period of time here and saying, okay, our customers have deployed 5G to a large extent, they're continuing to deploy. We still do see obviously, services activity from all of them and we would expect to move through over the decade further levels of investment as they continue to drive more value for enterprises as well as then more value for consumers.  So I'm hopeful that our investor base doesn't get spooked by the fact that this is a pullback. It's very consistent. The cadence is really spot on with what we've seen with other technologies. And we're going to -- we continue, as well as any of our customers do, heavily investments in the 5G networks over time.
Michael Rollins: Thanks.
Operator: Next, we go to Rick Prentiss with Raymond James. Please go ahead. 
Richard Prentiss: Thanks, good morning everybody. A couple of questions to follow up on some of the ones we had. Thanks for the updates on India, but a few extra ones. Can you remind us again how much you spent in India, where is that on your books right now as we look to maybe a transaction getting wrapped up here, hopefully?
Rod Smith: Yes, Rick, we've invested around $5 billion into the market. What we have on our books today is in the range of about $2.5 billion.
Richard Prentiss: Okay. And earlier, I appreciate the color that India's Vodafone Idea looks like they're getting current and 100% going forward. At what point you thought you might take a stake on that receivable, is that kind of on pause as you go through wrapping up the strategic review, and did I hear you say you maybe have slowed down some of the builds in India, is that also related to kind of the process?
Rod Smith: I guess on the first piece, when you say a stake in the receivables, you might be talking about the idea of converting some of the receivables with VIL into a different type of financial instrument. We have done that, Rick. So we've got about $200 million of prior receivables that we've converted into more of a financial note or a note receivable. So that is in place, and I think it will certainly work to our advantage over time. We are seeing a slowdown in terms of the new builds in India. And it is partly driven by our view, a higher cost of capital kind of reviewing pricing and our overall appetite to invest in the market. It doesn't mean that those new builds might not accelerate again if the opportunities come through with some higher pricing and higher returns. But the -- we're focused on driving the highest returns on the opportunities that we have to build. But we are seeing kind of a reduction there in India. And it's not because the overall demand is down. It's really we're being very disciplined and patient. And we're also continuing to build towers in Europe and Africa and a handful in Latin America. So in this environment, we're just being very selective and putting our capital towards the sites that give us the highest growth, the highest risk-adjusted rates of return going forward, and we balance that with our desire to delever and prioritize some capital towards delevering this year and into next.
Richard Prentiss: Okay. And then you also mentioned delevering is a priority, makes sense. But that stock buyback might make sense in the future, particularly compared to M&A out there. What would be the timing to think about putting a plan in place and how low does leverage have to get maybe?
Rod Smith: Yes. I would say, I mean, we want to be opportunistic there. But we're also -- we want to get down below 5 times. There's a combination of a couple of things, Rick. I think you want to watch where our leverage is getting down below 5 times. I've said in the past and we continue to be ahead of the delevering schedule with the rating agency. So from that perspective, where we sit today, we're very comfortable. We want to accelerate that delevering and get down below 5 times well ahead of the rating agency agreed plan because of the uncertainty around interest rates and the high cost of carrying debt these days as you've all experienced. So you want to watch kind of where our leverage goes and the closer we get to 5 times, the lower that overall leverage gets. And certainly, when it gets down below 5 times, we might hit a little bit more flexibility kind of in our capital allocation.  The other thing that we are watching is the rate environment and where that goes, and when there will be a little less uncertainty around rates. And when they peak and begin to come down, we're not making any bets on when that will happen, but that will be something we continue to watch. And depending on how that unfolds, we may be able to prioritize buybacks sooner rather than later or maybe not if rates continue to stay high and this continued uncertainty. So we'll be watching both the rate environment here in the U.S. And as you know, we do a lot of borrowing in Euro denominated debt as well, and we'll be looking at our overall leverage. Hopefully, that helps. And of course, the share price is part of that as well.
Richard Prentiss: Yup, it all makes sense, all the calculus that you look at. Great, thanks. Everyone stay well. 
Operator: Next, we go to Jon Atkin with RBC. Please go ahead. 
Jonathan Atkin: Thanks very much. On the CoreSite strength, Tom, you talked about positive renewal spreads and pricing. I wondered, is that happening as a result of like higher price list for cabinets and for cross connects, is that kind of a deliberate action you're taking on both new business and applying it to the base or if you can kind of tell us a little bit about the source of that strength? And then I wanted to ask about -- I think just real quick on DISH with their -- Dave Mayo retiring and then some of the uncertainty around that, how should we think broadly about U.S. leasing trends beyond this year just in a qualitative sense? Thanks.
Tom Bartlett: I think relative to DISH, Dave has been a great partner of ours going forward as well as the entire business. So I'm sure while he will be missed I've got a great team in place there, Jonathan. So I don't think they're going to miss a beat. As I said, Dave is a great guy, really a great engineer, very, very technical and has been instrumental to driving the business. But they're a big business and like with ours. I mean, if we lost one person and that changed the direction of the business, that would be a sad thing. So they're a large institution, and I think they're well positioned and a good partner of ours. So I don't see any change there at all. With regard -- your first question, Jonathan, was?
Jonathan Atkin: Yes, of course, a little bit more color around the CoreSite, the strength you are seeing? 
Tom Bartlett: Right, right. A lot of it is a function of our own pricing increase that we put in place. I mean looking at the market, looking at the demand, they were initiated by ourselves. The volumes are robust, as I said, the pricing is up 15% above first half of 2022. The funnel was healthy. As a matter of fact, on the funnel on the $54 million, I think 80% of it is actually retail and scale. So largely enterprise driven as opposed to even having a major piece driven by the scale. And on the 7%, historically, we've been in that 2% to 4% rate. So very pleased with the fact of those renewal rates being up significantly above where we've been historically.
Jonathan Atkin: I think anything around innovation initiatives around EDGE data centers, things of that nature?
Tom Bartlett: Yes. We have a number of projects going on within the business, candidly, Jonathan. No news to report. Working on several different pilots with potential customers. As I mentioned in the past, we have a number of sites that are -- have a significant ability to add capacity of power at each one of them. So still very early days, early innings of that. Hopeful that AI inferencing in particular, will drive even more of that need out at the customer prem. So we continue to explore, continue to work through a number of different pilots and projects, but nothing new to report at this point.
Jonathan Atkin: Thank you. 
Operator: Next, we go to Greg Williams with TD Cowen. Please go ahead. 
Gregory Williams: Great, thanks for taking my questions. Just the first one would be on the cadence of your U.S. new leasing going forward. So you hit about 119 in new leasing in the first half of the year, and you're guiding 220 for the full year, that implies a notable step down to like $50 million mark per quarter in the next two quarters. But you did give yourself leg room by saying at least $220 million here in full guidance. So I'm just trying to understand how much of this is conservatism versus taking our estimates down to the low 50s? And just second question, in that new leasing are you seeing a lot of DoD spectrum or dual-band radio spectrum being deployed and if not, could we then see another leg of growth as these dual-band radios and DoD get scaled and ready to deploy?
Rod Smith: Hey Greg, thanks for the question. Regarding the cadence here, I think you do want to plan for that lower 50 certainly by the time you get out to Q4. We'll see a slight deceleration from Q3 to Q4. So maybe you're up in the mid-50s and the low 50s by the time you get to Q4, but that's what we do expect and see in terms of the new business in the U.S. going forward. And it's very in line with kind of that 220, 220 plus sort of range. So we're certainly very happy with that, and it drives about a 5% new business growth contribution to that overall organic tenant balance growth.  And then in terms of the DoD and the spectrum, we're not seeing a lot of that. I'm not sure, Greg, if I would go out and say that, that upside is certainly not in the short term, if it would, it would probably be clearly small here this year. We wouldn't expect to see much of an impact. And to the extent that it is deployed later some of that may be within our holistic agreements as well with certain carriers.
Gregory Williams: Got it, thank you. 
Rod Smith: You are welcome. 
Operator: And our next question is from Batya Levi with UBS. Please go ahead. 
Batya Levi: Great, thank you. A couple of follow-ups. First, how do you think about your current scale in the data center business against the growing demand that you're experiencing? And on the services side, you did mention that there was an abrupt slowdown in carrier activity. Was that across the board or specific to one or two clients and do you provide the split for installation versus maybe managed services and one of your peers is getting out of the installation business, how do you think about that? Thank you. 
Rod Smith: Hey Batya, good morning. Thanks for joining the call. I think when you think about data centers, we're happy with the scale that we have. We've got great facilities, 28 facilities across really eight key markets. Their eco -- the ecosystem there is very rich with cloud on-ramps and network companies and enterprise customers. And it really gives us kind of the backdrop and the footprint that we need. And we're not seeing any headwinds because of a lack of scale. So all the great financial results that we're seeing, we're able to do it, because of the quality of the ecosystem and the way that these facilities are distributed throughout the U.S. So from that perspective, we feel really good with our data center investment to date. Now certainly, adding a location here or there, you've seen us do that a little bit even before we bought CoreSite. That certainly could be in the cards going forward. But we really do like the assets we have. We're not overly focused on trying to ramp up the scale as we've talked about in the past. When it comes to services, I would say we are seeing a slowdown -- it's -- I don't know if abrupt is the right word to use there, but we did see kind of a slowdown. I wouldn't say that it's across the board. I don't want to get into specific carrier by carrier, of course. But some carriers continue to plug right along and others have slowed down a little bit. Again, it's not unexpected from our view. When it comes to the final part of your question, in terms of the construction services, that's always been a pretty small part of our business. We've been maybe a little different than some of our competitors from that perspective. It is a small piece and it continues to be a small piece of our business. Most of what we do is in the permitting zoning engineering kind of those preconstruction activities. We do some construction services and deployment but not a lot.
Batya Levi: Got it. Thank you. 
Rod Smith: You are welcome.
Operator: And our last question will come from Phil Cusick with J.P. Morgan. Please go ahead. 
Unidentified Analyst: Hi, this is Richard for Phil. Just wanted to follow-up on the grooming comment that you made earlier. Does that typically last for just a few quarters or is that something longer? And then I have one more.
Tom Bartlett: Yes. I mean, it depends -- it will be depending on the carrier, on the customer themselves. Typically, as we've said in the past, I mean, things happen in the form of sign ways. We see heavy build, then we'll see a lighter build as it gets filled. I mean the carriers aren't going to be spending the money ahead of time until they see the network demand. And so there will be certain locations, certain geographies, urban parts of the market, mortgage and is more of the suburban, where you can see shorter cycles on the grooming side. So it really depends on the customer. And it's -- you can't really come up with a kind of an average, if you will, overall.
Unidentified Analyst: Got it. And then on the expense side, are you seeing any pressure in the domestic business on ground lease renegotiations on renewals, given where CPI or inflation is?
Rod Smith: No, Richard, I would say we're really not. I mean we have long-term leases on the vast majority of these sites. We either own or have 20-year leases on more than 70% of our sites approaching 75%. So we're in good shape from that perspective. And we do a lot of work well ahead of expirations of the ground leases to renew these things and kind of move the exploration data out or buy the land through our capital program. So we don't see and we're really not exposed to any short-term significant spikes in land rent because of an inflationary environment. On average, our land goes up in line with our revenue in that 3%, 3% to 4% range.
Unidentified Analyst: Great, thank you. 
Rod Smith: You are welcome. 
Operator: I'll now turn the conference back to the leadership team for closing comments.
Adam Smith: Thanks, everyone for joining today's call. Please feel free to reach out to myself or the Investor Relations team with any further questions. Thank you.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation. You may now disconnect.